Operator: Good afternoon, ladies and gentlemen, and welcome to the Linamar Q2 2024 Earnings Call. At this time all lines are in listen-only mode. Following the presentation we'll conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Thursday, August 8, 2024. I would now like to turn the conference over to Ms. Linda Hasenfratz, Executive Chair of Linamar. Please go ahead.
Linda Hasenfratz: Thanks so much. Good afternoon, everyone, and welcome to our second quarter conference call. Joining me this afternoon are members of our senior team, Jim Jarrell, Mark Stoddart, Dale Schneider, Elliot Burger and Kevin Hallahan and some members of our corporate IR, marketing, finance and legal teams. Before I begin, I will draw your attention to the disclaimer currently being broadcast. So I'll start off with the most exciting news of the quarter, and that is the promotion of Jim Jarrell, our long-time President to the additional title of CEO, a much deserved recognition of his fantastic education [ph] and exceptional skill as a business leader. Having achieved our long-term goal of reaching $10 billion in annualized sales, Linamar is poised to embark on a new era of value creation and growth bolstered by these strategic leadership changes. Jim has been with Linamar since 1991, and he's occupied progressively more senior positions; starting in sales and operations and being named Chief Operating Officer in 1999 and President in 2004. Jim, along with many of our amazing global team out there, played a central role in the achievement of our $10 billion goal and a successful global expansion program here at Linamar. As CEO and President, Jim will have primary responsibility for all operational and financial aspects of the business as well as corporate development initiatives and innovation. Working closely with me, Jim will also play an important role in developing strategy with a particular focus around setting short to medium-term priorities. In my capacity as Executive Chair, I'll continue to be responsible for setting the strategic direction of our company with a particular focus on long-term strategy, and I will continue to lead our distinctive Cost Attack Team program at now 75 global manufacturing sites to advance continuous improvement, mentorship and talent development. I will also continue to lead Linamar's engagement with Investors and government partners with, of course, increased involvement from Jim. This appointment recognizes Jim's many contributions and his fantastic track record of success over more than three decades at Linamar. He has earned the trust and respect of our customers, our employees, business partners and investors and has the full support and confidence of my family and the Linamar Board. Jim has been transitioning into the CEO role over the last five years, taking on ever-increasing levels of responsibility and accountability. This is a philosophy that Linamar's Founder, my father, Frank Hasenfratz, regularly use to develop leaders here at Linamar to set them up for success and it's a tradition that continues to this day. I remember my father telling me many times not to evolve someone into the job of general manager, all at once, if possible, give them one line as the supervisor, then add another and another until they're running the whole plant. It's a formula based on success and it's exactly what we've done with this succession at our highest level. And there's no one who would be prouder to see Jim named the CEO of Linamar today than my father. He personally mentored Jim throughout his career and considered him an exceptional executive of unparalleled capabilities, and the Board and I couldn't agree more. With that, I'm going to turn to a high level review of the quarter. Q2 was another excellent quarter, putting us well on our way to a record year again at Linamar. Financially, we once again have delivered double-digit top and bottom line growth for the quarter. And importantly, we have seen excellent market share growth in every one of our businesses with content per vehicle growth in every region, continued market share growth globally for our core scissors product at Skyjack and continued market share globally for our core combined draper headers at MacDon. Turning to a closer look at our financial results, we saw sales reach $2.85 billion, up 12% from prior year. Normalized EPS reached $3.06, up 17% from prior year. We've again seen great margin expansion compared to prior year with normalized net margins now hitting 6.6%, which is fantastic. Notably, our Mobility segment is continuing to see excellent performance with earnings growth of 59% and margins hitting 6.4%, an excellent improvement to the 4.5% seen last year. This slide, I think, really illustrates the excellent progress that we've made in those Mobility earnings and margins and the execution of our goal around that. This will clearly be taking us to a much improved year in 2024 over 2023. On a trailing 12-months basis, you can see we're hitting record levels at both sales and earnings performance, clearly setting us on track for a record year at Linamar on both counts this year. Some of the key factors that impacted our results this quarter are our 2023 and 2024 acquisitions, of course, in both segments, also cost and pricing improvements in a variety of areas. We saw market share growth from launching business and platforms running strong in the Mobility segment. We saw solid market share growth in both our access and agricultural businesses, which was partially offset by some overall market softness. Growing market share is absolutely critical in terms of softer markets. As markets are flat or declining, market share growth minimizes the impact of declines and provides opportunity for growth. On the balance sheet side, we saw another strong quarter, driven by our continued careful cash management program. Leverage is in excellent shape and improving as Dale will illustrate shortly. We saw free cash flow move back to the positive as expected this quarter with $67 million in cash generated. We continue to expect a strong year of free cash flow, both this year and next. CapEx dialed back again from highs that we're seeing last year. We spent $174 million in the quarter or 6.1% of sales right at the low end of our normal range of 6% to 8% to drive double-digit growth. CapEx spending at the low end of that range is a good expectation for this year and for next year. Turning to a market update, markets are now looking down pretty much across the board this year with some growth resuming, however, in 2025. On the Mobility side, industry experts are predicting modestly declining global light vehicle volumes this year to 15.8 million, 17.1 million and 50.7 million vehicles in North America, Europe and Asia, respectively. This represents flat performance in North America, but almost 5% declines in Europe and nearly 2% decline in the Asia Pacific. Next year, we expect to see flat to moderate market growth in each region for an overall year modestly up in volumes on a global basis. The big story this year is the Mobility business continues to see that dial back on battery electric vehicles in favor of more traditional internal combustion and hybrid electric vehicle model. We don't see any signs of this trend reversing and are actively working to reallocate capital and discuss risk mitigation strategies with our customers. Of course, there will be an impact, which we have considered in our outlook. But don't forget, if our customers aren't building EVs, they are likely building more internal combustion engine vehicles and we have plenty of content there still as well. Our strategy, as you know, has always think is equivalent potential and ideally equivalent sales program content in every type of vehicle, and we've done a pretty good job of ensuring we're spread around a lot of different programs. Our strategy is also to use flexible equipment wherever possible to allow us to shift capacity from EV to ICE and back again, which is quite helpful to mitigate that risk. And I'll remind you that 84% of our Mobility assets can be reallocated to another program. I think the bottom line is the next decade will be a bit up and down, and we just need to stay super flexible and ready to pivot whichever way the market goes and make sure we're careful with the contracts we're signing to handle those fluctuating volumes. On the Access side, industry experts are predicting declining markets in the Access industry globally this year with mid-single-digit declines in North America and Europe and more meaningful declines as you can see in Asia. Our backlog at Skyjack is still strong and remains ahead of historic norms as we work to fill customer orders. But with the shift in market demand, we are now looking at modest top line growth for the business this year. The shift over the last few months in market sentiment is really driving out of delays in some of the mega projects that were driving the nonresidential construction growth. Next year, as you can see, experts expect markets may see some growth resume in all the global regions, helping Skyjack to continue its growth path, but again, at a more modest top line growth level, assuming backlog to revert to normal levels. On the agricultural side, industry experts are predicting declining markets for combines this year globally. The combine header market tracked reasonably close to the combine itself market, although nobody can sustain a little longer given the lower cost value of investment of a header versus the full combined. The windrower markets will see fairly flat markets globally this year. Nevertheless, the order book remains strong for MacDon. Orders for combine drapers are largest product family are actually ahead of orders at this point last year. Salford products and tillage and crop fertilization equipment, more aligned really to the high horsepower tractor market are also seeing down markets this year on a global basis. Our current forecast is for mid-single-digit growth for MacDon and Salford combined this year. And then, of course, with the order book for our new Bourgault business is consistent with historical levels, so you can look for a stable year in terms of performance there. The combination of all of that is going to result in double-digit growth for our Ag business this year. Next year, Ag markets will likely be flat to down again. We will have a better sense post the 2024 harvesting season that's currently underway. With continued market share growth globally and cross-selling opportunities, we do expect to offset market declines next year and still produce at a similar sales level in 2025 to what we produced this year. With that, I'm going to turn it over to our new CEO, Jim Jarrell, to lead us through a more in-depth operational review. Over to you, Jim.
Jim Jarrell: All right. Thanks, Linda, and thank you for the kind words. I'd like to acknowledge your ongoing leadership. First, as you have seen Linamar surpassed the $10 billion revenue goal. It's an outstanding accomplishment that you should be very, very proud of. I'd like to start by saying I'm deeply honored and excited to be taking on the role as CEO. I'm grateful for the trust placed in me to lead Linamar towards our 2,100 Year mission. Although a couple of titles have changed, the game remains the same, the same culture, same teamwork, same strategies, same operational excellence, same opportunistic entrepreneurial effort and the same relentless pursuit to eliminate waste. And the average shifting landscape of our industry is the unwavering skill, dedication and commitment of our Linamar team that stands as our greatest asset. This team has consistently proven and will continue to prove that they have what it takes to not only meet the challenges but to excel. I wanted to start my overall -- with my overall message, which is we are in a navigational journey filled with lots and lots of promising opportunities. With all the market changes and announcements of late, we believe simply deploying a navigational approach called tacking into the wind, which means making small incremental adjustments over and over again will ensure we capitalize during this time frame, be it takeover opportunities from struggling markets, moving flexible capital to increase utilization growth in other target markets, product expansion and more international growth are just a few that are in front of us. Linamar is a Company that can sail in any condition and quite frankly, we thrive and perform during these times. For my part, I'm going to give a quarterly update on execution of our strategy, operations and market conditions from each of the mega markets. So first is our Mobility sector, which, of course, our mission statement is to move the world. First, a great look at performance is content per vehicle. Looking at North America's CPV stands at $283, up nearly 19% from Q2 '23 in a market environment where industry vehicle production volumes were essentially flat, up only 1.7%. Europe content per vehicle was $101 million, a change of 1.1% compared to Q2 '23, while Europe vehicle production was down nearly 5%. In Asia Pacific, our CPV was $11.03, nearly a 7% increase over last year when overall industry vehicle production volumes increased only 1.4%. In all three regions, our automotive CPV outpaced that of the underlying vehicle production market, a sign of increasing market share from incremental sales and new program launches. Our global CPV has increased by 12.4% year-over-year, which is excellent to see. Looking at our Mobility launches the main theme central plot is we have $3.1 billion of new work launching. We see ramping volumes that are predicted to reach about 20% to 30% of mature volume levels this year that will add incremental sales of $500 million to $600 million. That figure is down somewhat from our previous update and to no surprise, reflects some of the new program delays in the market by OEMs, most notably on EV program. In Q2, we saw just over $100 million shift from launch into regular production. Based on the latest understanding of OEM customer launch plans, the incremental growth is forecasted to be $700 million to $900 million in 2025. As the results are positive, we are seeing extensions on several current ICE programs continuing on as regular production longer than initially expected. We have maximized the use of flexible equipment wherever possible to shift capacity between programs based on market demand. We can, in many cases, use the same equipment for components we are making for electric vehicles, for ICE vehicles and vice versa. This flexibility is key that we are ensuring -- we minimize underutilization of assets. We've showed this before, and Linda just mentioned it, approximately 84% of our assets in our Mobility business are flexible and can be relocated to different projects, be it ICE, HEV, BEV or fuel cell. That kind of flexibility is key to navigating this transition. From a strategy and operations standpoint in Mobility, the integration activities from the two major acquisitions we made last year are going very well. From a production standpoint, we have no issues aside from lower than expected demand really and the battery [ph] closures in setup with the trend of the whole EV market. Both Mobex and the Dura additions have given us more tools in the toolbox and has created new opportunities with OEMs that we are pursuing. We recorded more than $150 million in new Mobility new business wins for propulsion agnostic and powertrain components in the quarter. We're also excited to see more commercial new business wins, which further plays out our diversification focus. With our new business wins, we currently have 188 programs that we are launching globally. Looking ahead to our book of business within Mobility through the next five years, you can see the pie graph showing that we have a nice blend of ICE electrified and propulsion agnostic products in our overall sales mix. We're not overly exposed to any one propulsion type. And as mentioned, we'll continue to use our flexible asset strategy to ship capacity as necessary to mitigate any capital risk. Turning to the Industrial segment, starting with Skyjack. Of course, our Skyjack mission is to build the world. At Skyjack, our total worldwide market share is up from the addressable markets that we service whether we're looking at the current quarter, year-to-date '24 or the last 12 month period, which is fantastic to see. Next, we are excited to announce the first product rollout of the eBOOM electrified articulating boom lift. The 45 and 60 foot to zero emissions units have launched in Europe and Australia. Skyjack will continue to introduce both EV and hybrid models over the near term to meet market requirements on a regional basis. Our new global manufacturing footprint is allowing us to build product for the market and the market on a regional basis as needed. At Skyjack, our order book and global backlog is extremely healthy, although down somewhat from last year, the backlog is substantial ahead of historical norms and carries us well into 2025. Another great takeaway from Skyjack is both the increase of customers and average customer sales. Lastly, I'll highlight some very exciting activities we have going on within our Linamar Agricultural group. We, of course, this is Feed the World mission. First, our Linamar Ag strategy is well underway. As you recall, we now have portfolio coverage across the entire broad acre crop cycle. We now cover field preparation, seeding, crop protection and nutrition pre-harvest, harvest and post harvest. You can see these well-known product brands, Bourgault, Salford and MacDon have leading products and services designed to serve global customers. The Bourgault integration is progressing extremely well. The Bourgault team is a great fit into the Linamar culture, and we're proud to have such a talented and innovative group of employees contributing to the overall Linamar strategy. We recently announced two great innovations to the market through new product introductions. First, MacDon has announced the new FD261, a 61-foot FlexDraper based on the 2 Series platform. This is a whole nine feet wider than our current largest offering. And when paired with the newest class 9 or 10 combines in the marketplace, offers an unmatched harvesting productivity advantage. MacDon continues to be the leader in draper header as you can see from the steady trend in global market share. Next Salford introduced their AB640, 90 foot AirBoom. This new crop nutrition implement offers increased productivity with a wide 90 foot base and ability for precision, micronutrient fertilizer application. As Linda said, the Ag market as a whole is down this year. The leading technology and solid order book at MacDon, Salford and Bourgault has enabled the Linamar Ag Group to stay ahead of the market to date. Again, we'll keep a close eye on the market as we progress into 2025. Before I hand it over to Dale, I thought showing you how our customers and dealers proceed for Bourgault, our newest acquisition would be helpful. Like MacDon and Salford, they are a leading short line product company, well respected within the dealer network. In fact, when you look deeper into the dealer survey, you can find that Bourgault dominates and delivers what's important to them, be it product quality, parts availability, communication, advertising support, et cetera, Bourgault has dominated all the way through the survey. Over to you, Dale.
Dale Schneider: Thank you, Jim. Good afternoon, everyone. Linda has already walked us through the double-digit sales and earnings growth. Therefore, I'll just jump directly into the business segment review, starting with the Industrial segment. Industrial sales increased by 14.1% or $109.3 million or $886.6 million in Q2. The sales increase for the quarter was primarily due to the additional sales from the first full quarter of the results from the Bourgault acquisition, an increase in excess equipment sales driven by market share gains in both Scissors globally and in our telehandler products. An increase in the agricultural sales driven by global market share growth on MacDon Drapers and Windrower, and these were partially offset by softer demand on the tillage products. Normalized Industrial operating earnings for Q2 increased by $12.7 million or 8.4% over last year to $164.3 million. The primary drivers impacting the Industrial segment earnings were the increased contribution from the acquisition of Bourgault, the increased contribution from the increases in the Access equipment volumes and the increased contribution from the increased volumes at MacDon, which were partially offset by the impact on the lower tillage sales and the increase in launch costs related to the new Skyjack facilities in Mexico and China. Turning to Mobility, sales increased by $186.6 million or 10.5% over Q2 last year to $2 billion. The sales increase in the second quarter was driven by the additional sales from our 2023 Linamar Structures acquisition, the increasing volumes on both launching and certain mature programs and these were partially offset by lower volumes in certain programs that are naturally winding down to the end of their life. Q2 normalized operating earnings for Mobility were up 59.3% over last year to $126.2 million. In the quarter Mobility earnings were impacted by the increased contribution from the higher volumes on launching programs and mature programs. The additional contribution related to the 2023 Structures acquisitions, these were partially offset by the lower volumes on many [ph] programs and increased SG&A costs that are supporting the segment's growth. Returning to the overall Linamar results, the company's gross margin was $424.8 million, an increase of $62.9 million compared to last year, primarily due to the same factors that drove the segment results. Cost of goods sold amortization expense for the second quarter increased to $147.7 million compared to Q2 last year, mainly due to the 2023 Linamar Structures acquisitions and '24 Bourgault acquisition, in addition to launching programs. As a result, COGS amortization as a percent of sales did increase to 5.2%. Selling, general and administration costs increased in the quarter to $153.1 million from $131.2 million last year. The increase is primarily the result of the incremental SG&A expenses from the acquisitions related to both the Structures Group and Bourgault. In addition, we did see increased management and sales costs that are supporting the overall sales growth. Finance expenses increased by $21.9 million since last year, primarily due to the new private placement notes that were issued in June 2023 to fund the Linamar Structures acquisitions. We also did the new term loan facility used to fund the Bourgault acquisition in Q1. The added interest expense related to leases acquired as part of the Structures acquisition and additional interest expense due to the Bank of Canada and the U.S. Fed rate increases compared to last year. The consolidated effective interest rate for the second quarter was 5.4%. Effective tax rate for the second quarter decreased to 25.7% compared to last year due to the Q2 2023 withholding tax impacts, which did not reoccur this year from the repatriation of cash from China. We also had a more favorable mix of foreign tax rates and a decrease in nondeductible expenses compared to Q2 '23, which were partially offset by an increase in unused tax losses that have not been recognized in deferred tax assets compared to last year. The Q2 effective tax rate was 25.7%, which was in our expected range of 24% to 26%. For the full year '24, effective tax rate is expected to be in the range of 24% to 26% and is expected to be similar to the 2023 full year rate before the impact of the China withholding taxes, which was at 25.6%. Note that the new OECD Pillar 2 global minimum tax rules that Canada just enacted in June 2024 are currently being investigated. And as a result, the impact on the effective tax rate is not currently known. So there'll be more to come on that. Linamar's cash position was $759.9 million on June 30, an increase of $106.6 million compared to December 2023. The second quarter generated $236 million in cash from operating activities, primarily used to fund the Q2 CapEx. Net debt-to-EBITDA increased to 1.2 times and in the quarter from a year ago, mainly due to the three acquisitions that we've completed in the last 12 months. Based on our current estimates, we are expecting 2024 to maintain our strong balance sheet and we're expecting leverage to decline to one times in the next 9 to 15 months. The amount of available credit on our credit facilities was $547.8 million at the end of the quarter. Our available liquidity at the end of Q2 remained strong at $1.3 billion. As a result, we currently believe we have sufficient liquidity to satisfy our financial obligations throughout the year. To recap, sales and earnings for the quarter was a story of improving performance in both segments, which drove double-digit sales growth of 11.6% and normalized EPS growth of 17.2%. Industrial segment continued to grow sales significantly by 14.1%. Mobility achieved exceptional double digit normalized OE growth over last year at nearly 50% in addition to continuing to expand our normalized margins of 6.4%. Additionally, Q2 had strong liquidity at $1.3 billion, and it was a great quarter of outperformance in both sales and earnings while maintaining our strong balance sheet. Turning to outlook, we expect to see double-digit consolidated sales growth and double-digit EPS growth for 2024. This is being driven by growth in both segments, which is great to see. For Industrial, we anticipate double-digit top line growth and our Ag business is driven by the Bourgault acquisition and organic growth within the rest of the Agricultural business. Skyjack will see modest growth through '24. For 2025, we are expecting to see modest sales growth in the Access equipment sales and flat sales in agriculture based on the market forecast for these businesses. 2024 sales growth will drive the segment's operating earnings to grow at a high single-digit rate, with margins in our normal range of 14% to 18%. For Mobility expect high single-digit sales growth through '24 as a result of the changing automotive market forecast. We will see launching programs adding between $500 million to $600 million that will help to mitigate the changes in the market conditions. For 2025, we will see modest growth based on both the current market forecast and additional sales from launches, which will be adding between $700 million and $900 million in revenue. The increased revenues in 2024 and 2025 will drive strong double-digit operating earnings growth and meaningful expansion on our margins in '24, and the added contribution in '25 will push our operating earnings margin back into our normal range of 7% to 10%. Growth in both segments will lead to double digit top line growth for Linamar overall this year and continued growth next year, which will in turn lead to double-digit normalized earnings growth for both '24 and '25. From a balance sheet perspective, we are expecting CapEx to be at the low end of our normal target range of 6.6% to 8% for 2024. CapEx in dollar terms will also be lower than 2023. The net effect of the sales, earnings and CapEx outlook is that we anticipate strong free cash flows for both '24 and '25, which is leaving us in an excellent position from which we can drive further growth. Looking forward to the next quarter, you should be expecting double-digit sales growth over Q3 '23 and continued growth on EPS and net earnings. In comparison to Q2 '24, you should be expecting the normal seasonal buyback in both segments. Industrial segment will see double-digit sales growth and continued OE growth in Q3 2023 due to another full quarter of Bourgault and convenient growth in both the underlying Agricultural and Industrial businesses. The Mobility segment will see sales growing and OEM growing at a faster pace, which will lead to a double-digit operating earnings growth and margin expansion compared to Q3 last year as a result of the 2023 Structures acquisitions and further contribution from our launching programs. Thank you and I'd like to open up the call for questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Krista Friesen from CIBC Capital Markets. Please go ahead.
Krista Friesen: Hi, thanks for taking my question, and congrats Linda and Jim, on your transition there. I was just wondering if we can talk about Skyjack for a minute. You're making pretty good progress you're expanding its geographic footprint. And I was just wondering how you're thinking about that now? Are you operating at full capacity in China and Mexico? And do you see a need to add additional capacity over the next 12 to 18 months there?
Linda Hasenfratz: Yes. I mean we are not yet running at full capacity in those regions because we added capacity to give us the opportunity to grow. As you know, we were tapped out in terms of the capacity that we had. So we added additional capacity to give us the ability to grow over the next few years. So we didn't anticipate that we would be running at full capacity in those regions. But that said, I would say that the teams have made great progress in terms of ramping up production, particularly in Mexico, which had quite an aggressive launch curve.
Jim Jarrell: Yes. I would say that we now have all the infrastructure in place globally. So we're in China, we're in Europe. We're in Mexico, we're in Canada to cover off what we need. And we have definitely capacity that we can still utilize and have growth based off that.
Linda Hasenfratz: So no additional capacity required.
Krista Friesen: Okay. Great. And then maybe just on the Ag side of the business. It's pretty impressive how you've kind of covered off the crop production cycle here. Are there additional areas within Ag that you'd still like to move into? Or would it be more so just deepening the positions that you're currently in?
Linda Hasenfratz: Yes. I mean I think we've got strategically quite a good lineup right across the full crop cycle. Are there products that we might be missing here and there? Sure. That might be nice to sort of slot in. But I think we've got a great sort of overall lineup right from field preparation through seating and fertilization and harvest of both harvests.
Jim Jarrell: There'd be, as Linda said, some product gaps into those sectors, those areas. But those are the ones we would probably stick very close to and focused on because of the short line product development and really that can support the OEMs, and we really want to support the OEMs that do the combined tractor sales as well.
Krista Friesen: Right. And maybe if I can just ask one last one here on the giga casting facility. I'm just wondering kind of what the feedback has been from OEMs there? And is there an opportunity to do work for ICE vehicles and not just for EVs at the giga casting plant?
Linda Hasenfratz: Yes, absolutely. I mean it is a high-pressure die cast facility there. They're large tonnage machines. They can be used for a wide variety of products that would be suited to that sort of footprint from an equipment perspective. So it is not in any way dedicated to electrified vehicles. We absolutely can look at a wide variety of products that is completely flexible equipment. So that is absolutely something that we're looking at.
Jim Jarrell: A lot of -- a lot of companies very interested in these larger press sizes. This is what we would call the giga casting 6,100 metric tons. So a lot of customers have a great deal of interest. And I think if you've heard from us before, the amount of weight savings that you can do when you use this type of process, it could be like from 50 to 100 kilograms. And the amount of part reduction, complexity, you can take out 50 -- 50 part numbers or parts in one of these type of designs, right? So it really adds a lot of technical advancement and also a lot of complexity reduction.
Krista Friesen: All right. Thanks, I'll jump back in the queue.
Operator: Thank you. And our next question comes from the line of Tamy Chen from BMO Capital Markets. Please go ahead.
Tamy Chen: Hi, thanks for the question. I was just curious with respect to the succession here, the timing, I guess, why now?
Linda Hasenfratz: Yes. I mean a couple of things. One, certainly, the achievement of $10 billion in sales, which was a long-term goal, was a clear trigger of our business entering the next phase of its evolution. But I have to say the succession of Jim to the role of CEO is one, as I mentioned in my formal comments that began five years ago with him taking on ever-increasing levels of responsibility and accountability. So the timing worked out great in terms of that process being completed, us meeting our goal and Jim being fully empowered and ready to assume the title of CEO, which he most certainly deserves.
Tamy Chen: Got it. Okay. And on the Ag side here, I think you've been talking about the company-specific initiatives, the cross-selling opportunities, the market share gains, expanding penetration in the dealer network. I assume those things would be continuing through this year, next year. So the more modest growth outlook, I think, particularly next year, I guess I would have thought the company initiatives would have offset the bit of slowing market growth. So can you talk a bit about -- this is the general Ag market now of what you're seeing just slowing down a bit more, and it's starting to outweigh some of the share gains that you can do?
Linda Hasenfratz: I would say that all of the things that you referenced are exactly what is helping us offset a declining market to still create growth, right? So if we didn't have all those initiatives, then we would be subject to fluctuation with a market that looks like it could be continuing to decline. I think that for next year, we'll definitely have a better understanding of where things will go once the harvest season is complete. We at this point in the year have a general feeling for where we think things will go, but we'll have a better indication. So once we get to our next conference call -- so for the time being, I think we're being cautious and calling it a declining market for next year, which were more than offsetting with the initiatives that you've described to still have growth. So I'm actually really happy with the strategy that's playing out in our Ag business.
Jim Jarrell: Yes. I think when we combine basically the 3 brands into Linamar Ag as a way of operating, I mean the brands obviously stay very strong. They stay on their own, but then the consolidation of the behind the scenes and dealer network and growth opportunities, we're capitalizing on those. And really from an outlook perspective, I mean, really, we have to understand dealer inventory, dealer perception of inventories. Obviously, we know what the headlines are with the OEMs. So we've got to watch that closely and tie out and then really watch our early order season that's coming upon us, how we're booking into next year.
Tamy Chen: Okay. Got it. And last one for me is, at this time, how are you thinking about share buyback. Is it more the leverage you'd like to see that come down a bit more? How are you thinking about that? Thank you.
Linda Hasenfratz: Yes. Great question, Tamy. I think buybacks are definitely something that we need to be considering. It is something that we talk every quarter with our Board about the level of dividends and the potential for a buyback. We assess that in terms of cash flow expectations and investment in growth that we're expecting coming up. We didn't pull the trigger this quarter, of course, as you see, but I will tell you it is something that is under serious discussions with our Board, given the weakness in our share price.
Tamy Chen: Thank you.
Operator: Thank you, and your next question comes from the line of Michael Glen from Raymond James. Please go ahead.
Michael Glen: Hi, good evening, and congratulations, Jim, on the appointment and Linda to the transition to Executive Chair. Jim, just maybe just to start with you, in the press release, it does state that there will be a particular focus on ground setting short to medium-term priorities. I'm just wondering if you could dig into that a little bit and give some insight into what some of those short and medium-term priorities might be?
Jim Jarrell: Yes. I think a lot of it -- I think, in my comments, I said, remains pretty consistent with what we've been already doing. But really key to me is culture, make sure the priority of culture remains really important to us, certainly continue to build a team, a global team, which I think is pretty important, and we have a great team, as I mentioned. And then really growth -- and I think as I said in my -- you saw my navigational slide, I look at today very opportunistically because you see a lot of headwinds in a lot of sectors but Linamar has always positioned itself to be able to be opportunistic entrepreneurial. And I think this time frame over the next one to two years, we are going to see a tremendous amount of opportunity to grow. So growth is another very important aspect and obviously, waste elimination to pump up margin and earnings and really work and focus around that. And then, I mean, just as an overall comment, which I often will say inside Linamar is focusing on employer, supplier and investment of choice. And those would really be, I mean, high level sort of priorities in the short term.
Michael Glen: And those growth opportunities, I think you're probably referencing some something a lot -- maybe some M&A opportunities. Is M&A really focused on your three existing businesses like Agriculture, Access equipment, Mobility or could it also be a new vertical?
Jim Jarrell: Well, I think we've talked about the med tech area another vertical in the past, and we've been working behind the scenes on our med tech quotations and things like that. So that would be another vertical, either on an assembly or a precision manufacturing side point. But I think your first point would be -- M&A activity would really be associated around those three. But again there's a lot of activity out there, but we're very watchful. But we really want to be opportunistic and cautious at this time frame.
Michael Glen: Okay. And just one for me on Skyjack, and maybe there's a couple of parts to this. So the first one is there has been the implementation of these tariffs in the European access equipment market. I'm just wondering if you can comment on Linamar's exposure or if there's a benefit or headwind from the implementation of these tariffs on access equipment? And then number two, the capacity situation overall for access equipment in North America, are you seeing any pressure in the market related to pricing as this new capacity comes on from competitors?
Linda Hasenfratz: Yes. So the tariffs in Europe are completely different than the tariffs that were undertaken in the U.S. The tariffs in Europe are on equipment imported from China like full equipment, not parts thereof, which is how the U.S. approach the situation. So I mean, we are not importing or exporting product from China into Europe at this time. We have historically exported product from North America to Europe. We also have capacity in Europe, which we are growing to make product in Continent as well. So these caps on Chinese equipment should not have an impact on us in Europe. With respect to capacity, we talked a little bit earlier about capacity for Skyjack. We added quite a bit of capacity back over the last two years, both here in North America, in Europe, as I just mentioned, growing capabilities there and also in China. So I think we're in a really great position actually to take advantage of growth in all of those markets. Notably the international ones where I still think there's a lot of opportunity for Skyjack to have a more meaningful level of market share.
Jim Jarrell: Yes, I would, again, just to reiterate, we have capacity to grow globally with what we've just set up with our manufacturing strategy. And so that's important to note. And the other important point I think you were bringing up is the pricing pressures. And certainly, pricing pressures have increased. And I think in Europe, there's been a lot of Chinese machines being put into Europe, and that has created some pricing pressures. And there is certainly some pricing pressures over here in North America as well.
Michael Glen: Okay, thank you for taking the questions.
Operator: Thank you. [Operator Instructions] And your next question comes from the line of Brian Morrison from TD Cowen. Please go ahead.
Brian Morrison: Thanks very much. Linda, congratulations on your many accomplishments, Jim on your appointment. If I can move into a couple of questions. So first on the launch book in Mobility, it went from $600 million to $800 million down to $500 million to $600 million in launches this year. Is that program delays on EVs? Or is that launch moving into production? And do the ICE contract extensions, do those volumes offset and the contribution offset, the softer EV volumes?
Linda Hasenfratz: Yes. I mean the dial back on the launch guidance for this year is a combination of both programs moving to production, which was over $100 million, close to $115 million, I think, for the quarter. So that's a chunk of it. And also, as you say, dial back mainly on EV volumes. But you bring up a really good point, and that is that when EV programs are delayed, there's a bigger pull on ICE and hybrid and because we have a lot of content on those programs. We are seeing some pretty strong volumes that we did right through the first half on a lot of those programs. So that's helping to offset the weakness on the EV side.
Jim Jarrell: I bet you hit it. It is the EV programs that have really just sort of been pushed back as I think we're all seeing in the marketplace with the EV delays. So that is the real reason of that change, Brian.
Mark Stoddart: And Brian, we've also -- Brian, we have also seen some contract extension on our ICE programs. So just as the industry seems to be looking at keeping ICE around a little bit longer. Some of these programs, we're starting to see some extension on our existing programs.
Brian Morrison: Okay. Thanks Mark. And maybe, Dale, can you just talk about the drivers of the operating leverage in Mobility, both in the quarter? Is it the maturation of launches and acquisition and additional scale? And what gets your normal margin at 7% in 2025?
Dale Schneider: A lot of it is just the overall volume growth, specifically being driven out of launching programs as more of those programs add to revenue, they'll get closer to mature margins, which means we're going to see margin expansion on top of it. So it's really about the continued ramp-up and reaching production -- full production levels on our launching programs.
Jim Jarrell: And continued focus on cost remain critical.
Brian Morrison: Okay. And then I guess, Dale, another question for you. You guys are hitting the ball of the park when it comes to consistency and strong free cash flow. You used $290 million in working capital in the first half of the year. Where do you expect this to close by year-end? Should that be close to neutral?
Dale Schneider: Well, obviously, in the second half, the cyclicality in both industries you have a shorter sales period. So you're going to have less -- you should see less noncash working capital. Well, that's a driver of the free cash flow for sure. And then obviously, the earnings growth is just adding to that.
Brian Morrison: But do you expect to get back to close to neutral?
Dale Schneider: We haven't forecasted of noncash, but definitely with the strong free cash flow, I think you're going to see improvements in noncash working capital.
Brian Morrison: Okay. The last question or comment I have, really for Linda or for Jim. The team went out to Saskatchewan, a couple of weeks ago or a month ago, whatever it might have been. And we saw the lineup, and it was incredible. Certainly, product and innovation. It showed to us very light capital -- it's very low capital intensity, high margin, strong free cash flow. It made me think I just couldn't agree more that you deserve a much higher multiple on your industrial business. So if the market is not going to respect your strong free cash flow or pardon me, respect the valuation, why aren't you allocating the strong free cash flow the NCIB? What's holding you back? Is it potential M&A? Is it hitting your leverage target? Is it market uncertainty? I just -- I really think that there's something missing here.
Linda Hasenfratz: Yes. I hear you, and we are hearing what our shareholders and investors are saying, and we're not liking what our share price is looking like. So I agree I think it is important for us to look seriously at what we want to do around a buyback. It is something that we've committed to the Board. We'll take a close look at over the coming months and see what makes sense for us.
Brian Morrison: All right. Thank you very much.
Operator: Thank you. There are no further questions at this time. I will now hand the call back to Ms. Linda Hasenfratz for any closing remarks.
Linda Hasenfratz: Great. Thank you so much. Well, to conclude this evening, I'd like to, as always, leave you with three key messages: the first is, we are very excited about the completion of our CEO succession program and embarking on the next phase of Linamar's growth plan. Number two, of course, we are thrilled to have delivered yet another strong quarter of double-digit top and double-digit bottom line growth at Linamar and to be well on track to our record year in 2024. And finally, we are particularly happy with the performance of our Mobility segment, which has really bounced back from lows seen last year and is well on the way to getting back to normal operating margin levels and record levels of earnings. Thanks very much, everybody, and have a great evening.
Operator: Thank you. And that concludes our conference for today. Thank you all for participating. You may all disconnect.